Operator: Good morning. My name is Celina and I will be your conference operator today. At this time, I would like to welcome everyone to the Genuine Parts Company Third Quarter 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session (Operator Instructions) Thank you. I would now like to turn today’s conference call over to Mr. Sid Jones, Vice President, Investor Relations. Please go ahead, sir.
Sid Jones: Good morning, and thank you for joining us today for the Genuine Parts third quarter 2014 conference call to discuss our earnings results and outlook for the full year. Before we begin this morning, please be advised that this call may involve forward-looking statements regarding the company and its businesses. The company’s actual results could differ materially from any forward-looking statements due to several important factors described in the company’s latest SEC filings. The company assumes no obligation to update any forward-looking statements made during this call. We will begin this morning with comments from Tom Gallagher, our Chairman and CEO. Tom?
Tom Gallagher: Thank you, Sid. And I would also like to add my welcome to each of you on the call today and to say that we appreciate you taking the time to be with us this morning. Paul Donahue, our President along with Carol Yancey, our Executive Vice President and Chief Financial Officer and I will each handle a portion of today’s call. And once we have completed our individual remarks, we will look forward to addressing any specific questions that you may have. Earlier this morning we released our third quarter results and hopefully you have had an opportunity to review them. But for those who may not have seen the numbers as yet, a quick recap shows sales for the quarter were 3.986 billion, and this was up 8% over the prior year. Operating income was 298.3 million, which was up 10%; net income was 190.5 million, which was also up 10% and our earnings per share were $1.24 this year compared to $1.12 last year, which is an 11% increase. So with revenues up 8%, net income up 10% and EPS up 11%, we feel that we came through the quarter in good shape. And as you will hear from Carol in a few minutes, all four of our business segments were able to show operating margin improvement in the quarter, which is encouraging and in our opinion indicative of an overall good job done by each of our management teams. Turning to the individual performances by business segment, as we customarily do, I’ll make a few comments on the non-automotive operations and then Paul will follow with an overview of the Automotive segment. Starting with industrial. This is our second largest segment representing 31% of total company revenues on a year-to-date basis. We’re pleased to report another solid quarter from the industrial team. Sales were up 10% and this continues the trend of sequentially strengthening sales results going back to the final quarter of last year. After being up 3% in the fourth quarter of 2013, we were up 4% in the first quarter, 7% in the second quarter and 10% in the third quarter. And if we look at it without acquisitions and foreign exchange impact, in the first quarter were up 2%, second quarter up 4% and third quarter up 8%. So a nice trend in the sales progression and our industrial operations are now up 7% year-to-date. And looking a bit more closely at the results on a product basis, we’re pleased to see positive growth across all of our major product categories in the quarter. And then from a customer perspective, 11 of our top 12 customer segments are showing growth in the quarter as well. The strongest segments in alphabetical order are automotive, coal and aggregate, iron and steel, lumber and wood products and pulp and paper. And similar to our overall sales results for the quarter, each of our top 12 customer categories had their strongest sales increases of the year, perhaps reflective of further strengthening in the industrial segment of the economy, which should bode well for our industrial business in the quarters ahead. Moving on to EIS, our electrical, electronic and wire and cable segment, we’re pleased to be able to report another strong revenue quarter with sales up 35%, which is the strongest quarter of the year. However, it is important to point out that most of our revenue increase is attributable to acquisitions completed over the past 12 months and the underlying business is up just slightly similar to what we have seen pretty much all year long. Lower copper prices had been a slight headwind to our revenue growth on the electrical side, but more significant has been the deferred demand that we have seen from telecommunication customers in the wire and cable segment and reduced demand from several contract manufacturers in the electronic segment. While we don’t anticipate significant changes in any of these specific situations until early 2015, we do see some modest improvement in the early days of the fourth quarter. And this, combined with the acquisition revenue, will enable EIS to report a strong finish to the year. Switching to the office product segment, S. P. Richards turned in a fine quarter with sales up 15%. As with our industrial operations, we have seen nice sequential improvement from the office products group. In the fourth quarter of last year they were down 4%, they were even in the first quarter of this year and then up 4% in Q2 and up 15% in Q3. And looking at it without acquisitions and currency exchange impact, we were down 4% in the fourth quarter of last year, down 1% in the first quarter of this year and then up 2% in Q2 and up 8% in Q3. As just referenced, acquisitions accounted for approximately seven points to the increase in the third quarter and the increased volume from our new Office Depot agreement was a significant contributor as well. However, we were encouraged with the mid single digit growth that we saw with our independent office products resellers. This is back-to-back solid quarters with this important segment of our customer base and we’re pleased with the results that we’re seeing here. We’re also pleased to see solid results across all four of our main product categories. Technology products, core office supplies and furniture reached up mid to high single digit in the quarter and facility and breakroom supplies were up low double digit. So good results across all of the product categories as well as across our two primary customer categories, the independent resellers on the megas and we’re pleased with the consistency and the balance that we saw in our sales results in the quarter. And importantly, we feel that the office products team is well positioned to end the year in good shape. So that’s a brief overview of our non-automotive businesses. And at this point we will ask Paul to bring up-to-date on the automotive segment. Paul?
Paul Donahue: Thank you, Tom. Good morning everyone and let me add my welcome to our quarterly conference call. I’m pleased to join you today and to have an opportunity to provide you an update on the third quarter performance of our automotive business. As Tom mentioned in his opening remarks, our automotive business grew top line revenues by 4% in the third quarter. This essentially reflects our core automotive growth for the quarter of 4.4%. This sales increase was in line with our expectations. We were able to deliver on our commitments in spite of the milder than normal temperatures here in the U.S., evidence of our teams out in the field continuing to perform at a high level. When evaluating on our quarterly performance, we’re encouraged by the solid results across our automotive businesses, including the U.S., Canada, Mexico and Australia and New Zealand. In the U.S., all regions of the country are positively contributing to our sales growth. As has been the case the past several quarters, our Midwest and Central divisions continue to lead the way for the company. We also saw solid sales growth in the Southern, Atlantic and Mountain regions of the country. Turning to our U.S. company owned same store sales. Comp store sales growth in the third quarter came in at plus 6%. This 6% increase is on top of 4% in the same quarter of 2013, giving us a two year stack of plus 10%. This solid performance continues to run up strong same store sales numbers dating back to the fourth quarter of 2013 when our team delivered a 7% increase. The NAPA team continued to execute well as they delivered an 8% increase in the first quarter of 2014 followed up with a 7% increase last quarter. While we’re pleased with these strong numbers, we also are well aware of the tougher comps facing us in the quarters ahead. Our sales increase in Q3 was bolstered by continued strong growth in our commercial wholesale segment. We followed up our 7% increase in Q2 with another healthy increase of 6% in the third quarter. As most of you know, the key drivers of our commercial business are the NAPA AutoCare centers and our strong alliance with our major account customers. These two big wholesale initiatives continue to exceed expectations and we’re proud of our dedicated teams in both these businesses. Let’s start with our major account business. This important segment of our business delivered its fifth consecutive quarter of low double digit sales growth. And turning to our NAPA AutoCare centers, we continue to grow the overall number of AutoCare centers, now totaling over 15,500. This team posted high single digit sales increase in the quarter and through nine months they were up low double digits year-over-year. So all in all, another fine performance by these two segments of our commercial business. Another segment of our commercial business worth breaking out is our all important fleet business. As a reminder, this segment posted a 6% increase in the second quarter and we followed that up with a 7% increase in the third quarter. This strong performance puts us at plus 7% through three quarters. We can also report improving trends in our average wholesale ticket value with little to no inflation support. We are also encouraged to see our average number of tickets continuing to increase. We continue to be pleased with our improved performance in our retail business. This segment of our business grew 5% in the third quarter. And if you'll recall, our retail business generated a 9% increase in the first quarter and a 7% increase in the second quarter. As we saw with our wholesale business, we generated a mid single digit increase in our average retail ticket value while we experienced a slight decline in our average number of retail tickets in the quarter. Our team has been working hard to drive both increased foot traffic and our average retail ticket value. These efforts are beginning to take hold and we’re pleased with this performance through nine months. Now, let’s take a look at the product categories driving our growth. Our heavy duty business continues to post strong results as this group generated low double digit growth in the quarter. We also experienced low double digit growth in our brake business and strong growth from our tool and equipment business. Core product categories like chassis, ride control and our filter business, all experienced mid to high single digit growth. Conversely, the milder temps experienced this summer had a negative impact on our heating and cooling product sales. So in summary, we’re encouraged by the growth opportunities available to us in both the retail and commercial sectors of the automotive aftermarket. While we have much work ahead of us, we remain optimistic that the initiatives our team is focused on will continue to drive strong results. We would also add that the industry fundamentals remain steady and positive for the aftermarket. The average age of vehicles on the road remains in excess of 11 years, the total fleet is large and growing and deferred maintenance remains at historically high numbers. Likewise, important metrics such as the price of gasoline and miles driven are trending favorable. Fuel prices continue to decrease and accordingly miles driven have increased now for the sixth consecutive month through August and stand at plus 0.6% year-to-date. In closing, we’re pleased with our third quarter results as well as our year-to-date performance. While we didn’t experience a hot summer we’re all hoping for, our NAPA team persevered and delivered another in a series of good quarters. We are proud of our management team and know they remain committed to driving profitable growth throughout 2014 and beyond. We would like to personally thank all of our associates both at NAPA North America and at GPC Asia-Pac and Australia and New Zealand for their efforts in the third quarter. So that completes our overview of the automotive business. And at this time I’ll hand the call over to Carol to get us started with a review of our financial results. Carol?
Carol Yancey: Thank you, Paul. We'll begin with a review of our third quarter and nine month income statements and the segment information and then we will review a few key balance sheet and other financial items. Tom will come back up to wrap it up and then we will open the call up to your questions. As Tom mentioned, our total revenues were a record 4 billion for the third quarter, an increase of 8% from last year, which includes the 5% underlying sales growth, a 3% contribution from acquisitions, and this was offset by a currency headwind of approximately 0.5%. Our gross profit for the third quarter was 29.7% of sales compared to the 29.9% gross margin reported last year. For the nine months, our gross margin of 29.9% compares to the 29.6% reported last year or 29.8% excluding the one time purchase accounting adjustment in 2013 that’s previously been disclosed and also referenced in today’s press release. The pressure on our third quarter gross margin reflects the impact of our ongoing customer and product mix shifts that we see in our businesses. For 2014, we expect our margins to approach the 30% range with the gradual expectation of margin expansion in 2015 and the years ahead. This is an area that is receiving a good bit of our management team's attention. As an additional point of interest, we’re seeing some slight inflation in our nonautomotive businesses year-to-date, but we continue to see very little inflation in automotive and we don’t expect this to change over the balance of the year. Our year-to-date cumulative pricing for 2014 is 0.2% in automotive, 1.2% in industrial, 1.2% in office products, and 0.3% in electrical. Turning to our SG&A. Our total expenses were 885 million in the third quarter, which is an improvement of 30 basis points to 22.2% compared to the 22.5% reported last year. For the nine months, our total SG&A expenses are 2.6 billion, which is 22.5% of sales, compared to 22% in 2013 or 22.5% before the purchase accounting adjustment mentioned earlier. The improvement in our third quarter SG&A expenses continue to reflect a combination of our cost savings associated with the freeze of our pension plan effective January 1st as well as the ongoing benefits of our cost saving initiatives and expense leverage. We remain focused on effectively managing our cost in every area of our business and through these initiatives we expect to show continued progress on our SG&A line in the periods ahead. Now let’s discuss the results by segment. Our automotive revenue for the third quarter was 2.1 billion and represents 52% of total sales and is up 4%. Our operating profit of 193 million is up 7.3%, so their margin improved by 30 basis points to 9.2% from the 8.9% last year. For the nine months, our automotive sales of 6.1 billion is up 10%. Our operating profit of 550 million is up 12.8% and our margin is up 20 basis points year-to-date to 9.0%. Our industrial sales were 1.2 billion in the third quarter and this is 31% of our total revenues and up 10% from 2013. Our operating profit of 95.3 million is up 20% and our operating margin expanded a strong 60 basis points to 7.8% from the 7.2% last year. Year-to-date industrial sales of 3.57 billion are up 7%. Our operating profit of 274 million is up 10.7% and our margin of 7.7% is up 30 basis points from last year. Our office products revenues were 497 million in the quarter or 12% of total revenues and up a very strong 15.4%. Our operating profit of 33.3 million is up 19%, so their operating margin increased by 20 basis points to 6.7%. For the nine months, office revenues of 1.3 million represent 11% of the total and are up 6.4%. Our operating profit of 98.4 million is up 8% and our margin is up 10 basis points from last year to 7.4%. The electrical group had sales in the third quarter of 193 million and that's 5% of our revenue and up 35%. Operating profit of 17.8 million is up 41% and their margin is 9.2% which is up 40 basis points from last year’s 8.8%. Year-to-date sales for this group are 562 million or up 32%, and our operating profit of 50 million is up 41%. So our margin is up nicely to 8.9% from the 8.3% last year which is a solid increase of 60 basis points. So our total operating profit was up 13% in the third quarter and our margin improved 30 basis points to 8.5%. This increase follows a 20 and 30 basis point margin improvement in the first and second quarters respectively. So for the nine months, our total operating margin is 8.4%, which is up 20 basis points from 2013. As covered earlier, our overall margin expansion is supported by increases in each of our four business segments in both the quarter and the nine months. So we’re encouraged by this progress and we remain focused on continued margin expansion in the periods ahead. We had net interest expense of 6.3 million in the third quarter which is down from the 7 million last year. For the nine months, interest expense is 18.7 million and we expect this cost to remain relatively steady over the balance of 2014. We currently estimate interest expense to be 24 million to 25 million for the full year. Our total amortization was 8.9 million for the third quarter and this is 26.3 million for the nine months. Year-to-date our amortization is up from last year due to the acquisition activity across all four of our segments. We expect amortization expense to be in the 35 million to 36 million range for the full year. The other line which reflects our corporate expense was 26 million expense for the third quarter, which is relatively consistent with the first and second quarters, although up from last year. The increase from 2013 reflects an unfavorable $4 million swing associated with our retirement plan valuation adjustment as well as higher expenses for a variety of items including legal and professional, insurance and incentive related costs which have continued to impact this line item. For the nine months, this line shows 75 million of expense and this is up from the 47 million last year excluding the one-time purchase accounting adjustment in 2013 of 33 million. Currently we expect this line to be in the 90 million to 95 million range for 2014. Our tax rate was approximately 36.1% for the third quarter of 2014 and 2013. For the nine months, our 36% tax rate compares to a 34% tax rate for the same period the prior year. The increase in our nine months tax rate is primarily due to last year’s favorable tax rate on the one-time purchase accounting gain. Looking ahead, we expect our full year tax rate for 2014 to be in the 36% range. Our net income for the quarter at 190.5 million compares to the 173.7 million or up 10%. Our EPS of $1.24 compared to the $1.12 last year is up 11% and for the nine months our net income of 546 million is up 9% and our EPS of $3.53 is up 10% from the nine months of 2013 on a comparative basis. Now let’s discuss some of the balance sheet items. Our cash at September 30th was 136 million, which was down from approximately 321 million last September and 197 million at December 31st. We continue to use our cash to support the growth initiatives in each of our businesses and we remain comfortable with our cash position at September 30th. Our accounts receivable of 2 billion at September 30th increased 12% from the same period in 2013 on an 8% sales increase for the quarter. We remain focused on our goal of growing receivables at a rate less than the revenue growth and we have some work to do in this area in the periods ahead. But we’re very satisfied with the quality of our receivables at this time. Our inventory at quarter end was 3 billion which is up approximately 6% from last September and up only 2% from December 31st. Before the impact of acquisitions, inventory is basically unchanged from year-end and up 3% from last September so our team continues to do a very good job of managing our inventory levels. We will remain focused on maintaining this key investment at the appropriate levels as we move forward during the year and also into 2015. Our accounts payable balance at September 30th was 2.5 billion or up 15% from September 2013 and this is due to the positive impact of our extended payment terms and other payables initiatives established with our vendors and to a lesser extent the impact of acquisitions. Our continued improvement in this area and its positive impact on our working capital in days and payables is encouraging. We expect this favorable trend to continue in the periods ahead. Our working capital of 1.9 billion at September 30th compares to 1.8 billion at December 30th of 2013, an increase of 6%. Effectively managing accounts receivable inventory and accounts payable is a very high priority for our company and our ongoing efforts with these key accounts have resulted in solid improvement in our working capital and cash flow. Our balance sheet remains in excellent condition at September 30, 2014. The total debt of 835 million at September 30th is relatively unchanged from last year and it represents approximately 19% of our total capitalization. The September 30, 2014 debt includes two 250 million term notes as well as another 335 million in borrowings under our multi-currency syndicated credit facility agreement. We are comfortable with our capital structure at this time. Thus far in 2014, our cash from operations is approximately 586 million and for the full year, we currently expect cash from operations to be approximately 900 million. We expect free cash flow, which deducts capital expenditures and dividends, to be in the 425 million to 450 million range. We are pleased with the continued strength of our cash flows and we remain committed to several ongoing priorities for the use of our cash, which we believe serve to maximize shareholder value. Our first priority for cash is the dividend which we have paid every year since going public in 1948 and have now raised for 58 consecutive years. Our annual dividend of $2.30 per share in 2014 represents a 7% increase from the $2.15 per share paid in 2013 and that’s approximately 52% of our 2013 earnings and that is well within our goal of the 50% to 55% payout ratio. Our goal will be to maintain this level of payout ratio going forward. Our other priorities for cash include the ongoing reinvestment in each of our core businesses, strategic acquisitions where appropriate and share repurchases. Our investment in capital expenditures was 34 million for the third quarter and 74 million for the nine months. We currently expect our capital expenditures to pick up further over the balance of the year and we look for our CapEx expending to be in the range of 120 million to 130 million for the full year. This is down slightly from our previous estimate of 130 million to 140 million, but in line with our prior year CapEx of 124 million. As usual, the vast majority of our investments will continue to be weighted towards productivity enhancing projects primarily in technology. Depreciation and amortization was 35 million in the third quarter, consistent with third quarter last year, and 109 million for the nine months which is up from the 98 million in the prior year. The nine-month increase reflects the impact of GPC Asia Pacific as well as our more recent acquisitions. We currently anticipate depreciation and amortization to be approximately 145 million to 150 million for the full year. Our strategic acquisitions continue to be an ongoing and important use of cash for us and they're integral to the growth plans for our company. In the third quarter, we made three acquisitions including one small tuck-in for both our automotive and electrical businesses, as well as the July 1st addition of Impact Products to our office products group, which we discussed in our last call. All in we have made seven acquisitions thus far in 2014 including one in each of our four business segments. We expect these new businesses to contribute total annual revenues of approximately 390 million. We are encouraged by the growth opportunities we see for each of these acquisitions and we’ll continue to seek new acquisitions across our businesses to enhance our prospect for future growth. We’re generally targeting those bolt-on types of acquisitions with annual revenues in the $25 million to $125 million range. Finally thus far in 2014, we have used our cash to repurchase approximately 1.1 million shares of our common stock under our share repurchase program. Today we have another 9.5 million shares authorized and available for repurchase. We have no set pattern for these repurchases but we expect to remain active in the program over the balance of the year as we continue to believe that our stock is an attractive investment and combined with our dividend provides the best return to our shareholders. So that concludes our financial update, a solid quarter but more room for improvement. And in closing, we want to thank our GPC associates for all their hard work. We have a great team. And because of their dedication and hard work, the company is well positioned for continued growth in the fourth quarter and beyond. We look forward to updating you on our future progress when we report again. I will now turn it back over to Tom. Tom?
Tom Gallagher: Thank you, Carol and Paul for those informative and comprehensive updates. So that will complete our planned comments. And in recapping our view on the quarter, we would say that we feel good about the performance turned in by the GPC team with sales up 8%, net income up 10% and earnings per share up 11%. As we look toward year-end based upon our year-to-date results, we feel that some modest adjustments to our prior guidance would be appropriate. On the revenue side, we previously had guided automotive revenues to be up 7% to 8% and at this point we would say that that would be up closer to the 8%. In industrial, we previously had said up 5% to 7% and now we would say up 6% to 7%. Office products was 6% to 7% and at this point we would say 8% to 9%. Electrical was 25% to 30% and we would suggest right at 30%. So for the total company, prior guidance was to be up 7% to 8% and now we would say we'll be up 8%. And on the earnings side we previously had guided in the $4.54 to $4.60 range. We are comfortable taking that upside and we now feel that $4.56 to $4.60 is more appropriate and that would represent an earnings per share increase of 9% to 10% for the full year. So at this point we would like to address your questions. And we will turn the call back to. Celina. Celina?
Operator: (Operator Instructions) Your first question comes from the line of Mark Becks with JP Morgan.
Mark Becks - JPMorgan: I guess just to start off on the automotive side. Looking at your guidance of 8% sales growth, by my calculations it looks like it's sort of like a 3%-ish number in sales growth for NAPA in 4Q. Maybe just trying to get an update on how you are thinking about the automotive trends. Obviously they are still very solid, but you are lapping some pretty impressive comparisons, so maybe what you are seeing in the business now. Thank you.
Tom Gallagher: I will try to answer that. The guidance would suggest some modest deceleration. However, as you pointed out, the comps are getting a bit more challenging. And we also don’t know what the early winter weather impact we may get this year. As far as the current trends, we would say that we are pleased with what we see in automotive specifically in the beginning or the early days of the fourth quarter. And I might say that that same comment would hold true for the other businesses as well. We are early in October, but we do like what we see at this point.
Mark Becks - JPMorgan: And then on the gross margin side, a little bit of a headwind there. Can you elaborate a little bit on what caused the pressure there? Is there any change in the promotional activity going on in the category? Is that maybe some acquisition related impact? Thank you.
Tom Gallagher: The margin, as I think we mentioned in the last call, the margin is being impacted a bit by the customer mix and the product mix that we see across our businesses. And as you know, the larger the customer in any of our businesses, the greater the discount that they receive. So the margin compacts some. However, the offset to that is the greater the volume, the more leverage that we can get. So in the quarter, our gross margin was down 18 basis points, but our SG&A was down 29 basis points, so we did have a positive 11 basis point improvement in our operating margin. So that’s the primary thing that’s happened. If we look at it on the product side, we see nice growth in a couple of areas that Paul mentioned. Certainly our heavy duty business was up and that’s a little bit lower gross margin, but higher ticket values. The same thing would be true on tools and equipment in the automotive. If we look at the office products business, I mentioned that our technology products were up, again higher ticket value, but lower margin. So I think they would be the primary contributing factors.
Mark Becks - JPMorgan: And then just a follow-up to the margin comment. On the industrial side, presumably you might have hit some vendor rebates kicking in with the big acceleration there, maybe where that’s coming from and the sustainability of that. It looks like incremental margins were kind of mid-teens maybe historically what you've seen with incremental margins on the industrial side. Thank you.
Carol Yancey: So Mark on the gross margin on the industrial, what we would say is certainly with their core growth coming back a bit, we’re seeing some of the volume incentives come back, but I would say it’s really more trending in line with what their sales increases are. It was primarily more their cost savings and the leverage that came through on that for the industrial side.
Operator: The next question comes from the line of John Lovallo with Bank of America.
Elizabeth Suzuki – Bank of America: Hi, this is Elizabeth Suzuki on for John. In terms of the acquisition landscape, which segment are you most interested in? And how do the multiples being paid for acquisitions compare to about a year ago?
Tom Gallagher: I will try to answer that. And I would say that our overall growth strategies across each of the businesses include a component for acquisition growth. We have been able to make acquisitions in each of the four businesses over the course of this year. In terms of where the acquisitions may come from prospectively, we’ve got active discussions going on in each of the businesses, but there are more possibilities in the industrial and the electrical sides of the business only because those industries continue to be the more fragmented of the two industries that we’re in. In terms of the valuations, valuations are relatively constant with where they’ve been. They might be pushing the top end of what we would consider to be reasonable valuation, but they're still relatively consistent. And I would also, just as a point of information, I would say that we continue to be what we would consider to be fairly consistent in our valuation models and we’re going to – if it doesn’t fit our model, there is a high probability it won't be a deal that we do. We’re not going to do any deals that are dilutive to our shareholders.
Elizabeth Suzuki – Bank of America: And then just one other quick one is that GPC once operated in Europe. Do you foresee any future operations there?
Tom Gallagher: As it turns out, I actually was involved in that business stack then. And I think our primary emphasis would be in North America, in Australasia and potentially South East Asia and then also into more in Mexico and Latin America. Not to the exclusion of Europe, but that would be down the list. We think there may be other opportunities for us in these other areas that might be more attractive.
Operator: The next question comes from the line of Aram Rubinson with Wolfe Research.
Chris Bottiglieri – Wolfe Research: Hi. This is actually Chris Bottiglieri on for Aram. Was hoping you can kind of walk us through the incremental margins maybe by segment and what you’re seeing particularly perhaps ex acquisitions. It seems like you had a lot of very strong growth obviously in industrial on an organic basic, the same with office. So maybe just talk about like your maybe implied margins for -- was this quarter – I want to keep saying Q4, or maybe just long term where you expect those to trend?
Carol Yancey: I guess just to comment on -- so a couple of things on the margin. While we were able to see -- what we’re seeing there, and again you’re seeing it in total, so there is some gross margin pressure, but you’re seeing our improvement on SG&A and that really applies to all of our segments. And I think where we’re seeing the improved top line growth, we’re able to really see that push through on the SG&A line. So where we are more on the nine months year-to-date basis, and when you look at what our margins are up for each of our segments, we’re still going to really hope to keep the 10 to 20 basis point improvement for each one of those and a little bit greater than that in the electrical., but I think maintaining where we are at through the nine months and looking for just a continued 10 to 20 basis points for each of the segments.
Chris Bottiglieri – Wolfe Research: And one another additional small question. Can you talk a little bit about the industrial, what’s causing the explosive growth in organic revenue? But at least compared to industrial production, it seems to really have accelerated this past quarter. And maybe one of the segments that you're playing out might be outperforming versus the benchmark? 
Tom Gallagher: We mentioned five, I think it was five categories or customer segments that we’ve enjoyed a little bit stronger growth than the overall, and they pretty much follow what you’re seeing happening in the economy. If you look, automotive is a strong segment for us right and you see what’s happening with new vehicle sales. Lumber and wood products and the mining and aggregate are both fairly strong for us and we think that may follow what’s happening with construction, both housing as well as commercial construction. So I think we’re following the overall trends within the economy. The external indices, industrial production capacity utilization, they’ve actually been fairly strong for a number of months now. And it’s been our expectation that we would see some improvement in our sequential growth rates and I think we’re just now beginning to experience some of that. And then one other thing I might add is that in prior calls I think we’ve mentioned that we keep track of what we would call project work, which is work that our manufacturing customers are planning to do where they may take a line down or they may do a complete refurbishment. And to the best of our ability, we try to quantify what that might be and we follow the patterns on that end for a period of time. What we saw is a relatively consistent dollar amount of project work. But to take out on that was not flowing as it had historically. We had seen some deferrals, some delays and we’re beginning to see some of that work being done now. So that’s probably contributing a bit to the overall growth rates as well.
Operator: Next question comes from the line of Bret Jordan with BB&T Capital Markets.
Bret Jordan - BB&T Capital Markets: A quick question, I guess, on the auto. I was about to ask that project work question a second ago, but just to sort of follow off on that. What’s the expectation -- I mean if we sort of look at the quarter on the industrial side, how would it weigh percentage that was sort of just general disposable as opposed to project work from a contribution standpoint, just sort of trying to get a feeling for where we are, what inning we are in the expansion of projects work?
Tom Gallagher: Bret, I’ll try to answer that. And I would say that it was more weighted toward the day in and day out needs than it was the project work. We were pleased to see some increased activity on the project work, but the overall growth rates were more driven by a good, steady demand from ongoing operations.
Bret Jordan - BB&T Capital Markets: Okay. And then back to my other question. If we look at sort of any prospective or early look at market share shifts, are you seeing anything shaking out as far as recent consolidation? I think a question was asked earlier about increased promotional levels. But are you seeing maybe a shift in some of the customers' bias to go with you as a commercial supplier as opposed to other competitors?
Tom Gallagher: I think the best way we could answer that would be to point to our NAPA AutoCare on our major account business. Paul referenced in his comments that we’ve enjoyed nice growth again this quarter and we’ve had a number of really good quarters there. And I think those results would indicate that there has been a bit of share gain with those customers or a share gain by those customers, whichever, and I think we’re benefiting from that. I don’t know if there is more that Paul might want to add to that.
Paul Donahue: No. Tom hit on it, Bret. Those two businesses, as we’ve discussed before, continue to perform well and show no real signs of slowing. So I would think with the kind of growth rates that we’ve seen, high single digit out of our AutoCare group this past quarter and low double digits out of our major accounts., we’re very pleased with that performance and our team's really got to go on all cylinders.
Bret Jordan - BB&T Capital Markets: And Paul, one last question. You mentioned that all markets were -- all regional markets were up and some of the standout strong markets. What were the weaker markets relative just geographically?
Paul Donahue: As we’ve seen a good bit this year, Bret, out West and certainly when we always like to talk about weather, certainly the drought has impacted, we believe, some of our customers out there both on the installer side as well as some of our independent owners. So that would be absolutely one that would stand out.
Operator: Next question comes from the line of Robert Higginbotham with SunTrust.
Robert Higginbotham – SunTrust Robinson Humphrey: Quick first question on auto and imports specifically. Your major competitors have really increased their attention on that piece of the business and they’re doing it in a couple of different ways, a couple of people using the warehouse distributor model and then some cross-sourcing to the legacy stores, if you will, and then one focusing on developing private labels specifically for imports. You guys really don’t talk much about that. Could you give us a sense to how you view that piece of the market? How important you see it and how you see yourselves attacking that going forward?
Paul Donahue: Yes, Robert, this is Paul. I will give it a shot. I am assuming you’re referring to a couple of our competitors and recent acquisitions. And you’re right, we don’t talk much about the OE import business. But I would tell you that six plus years ago we did an acquisition of a company called Altrom, which is a OE branded provider that we acquired six years ago. They do business both in the U.S. and Canada. We viewed it then as we view it now as a very strategic and integral part of our overall automotive business. And we’ve been getting after it for a number of years. So I think that what you’re seeing with our competitors’ recent acquisitions, which I think is a good move on their part, it just further reinforces the opportunities that are in that segment of the business.
Robert Higginbotham – SunTrust Robinson Humphrey: Okay. And then on the Asia Pacific, and when you look outside of Australia, in the past you've somewhat loosely alluded to opportunities outside of Australia and using Australia as a foothold, as a platform for growth in the larger region. Could you give us a sense of how -- what you see in those neighboring markets, specifically automotive, in terms of size, competitive fragmentation, kind of what the opportunity is there?
Tom Gallagher: I’ll take that one, Robert. First of all, our primary and near term focus is continuing to build out in Australia and New Zealand and the team there is doing a really good job for us in that regard and we continue to see some pretty attractive opportunities in those markets today. At the same time, we’re looking at some other markets. I had mentioned that China is not high on our list. Although it’s a large and rapidly growing market, it’s not one that we think is ready for a company like ours yet or a company like ours is not yet ready for China, either way. But there are some other markets. Although they’re smaller, they’re enjoying very attractive growth rates in the vehicle part. And when you total up a couple of them, they’d become fairly significant. So we’re in the process of trying to gather as much market intelligence as we can currently, make as many contacts as we can with existing players in those markets. And at some point, it’s probable that we’ll make a move to start to do business in some of those markets.
Robert Higginbotham – SunTrust Robinson Humphrey: Okay. And let me sneak one quick one and hopefully -- in the past you’ve talked about a stronger dollar hurting the export business of some of your customers and then that of course are flowing through to softness in your own business. Are you seeing any of that happen now or are you concerned about that?
Tom Gallagher: Yes, it continues. The dollar continues to be quite strong vis-à-vis other currencies. So that continues to be an issue for those customers of ours, primarily capital goods type customers who are shipping and selling product into some of these other markets. And then you combine that with a general malaise in the global economy and you’ve got a combination of maybe a bit softer demand and the higher dollar that causes some compression for some of those customers.
Operator: Your next question comes from the line of Matthew Fassler with Goldman Sachs.
Matthew Fassler - Goldman Sachs: I have my first question on office products to change it up a bit and a couple of quick follow-ups on automotive. If you think about the pop that you saw in the underlying growth rate in office supply and if you could sort of isolate as best as you can some of the drivers of it, can you talk about how much maybe layering in the Office Max business would be versus your getting just a bigger share of the pie given your new deal down at Office Depot? And then finally what you’re seeing in terms of intrinsic demand which, based on what you saw from the independents, that also seems like it wasn’t so bad?
Tom Gallagher: Maybe we’ll take them in reverse order, Matt. The demand was actually encouraging, especially from the independents and there has been a lot of work going on by our office products team to work with independent owners to help them improve their position in their respective marketplaces and I think that’s a partial contributor to results that we saw. Additionally, we had seen some slowdown in governmental spending, as a general statement, and that has a ripple effect on a number of our independent customers and we saw that improve some over the last two quarters. So, that’s been a contributor as well. As far as looking out a little bit, we’re encouraged by what we’ve seen on the independents side and the expectation is that it should continue to generate reasonably good growth for us over the next quarter or two for sure. It's hard for us -- moving on to the question on the incremental volume from Office Depot and Office Max, it's hard for us to be able to extrapolate that very precisely. I can tell you that the aggregate volume is running very much in line with what we thought it would be and what the Office Depot folks thought it would be. So, we’re very pleased with what we see in the early days and I think it's a reflection of the combined entities, but it's also, I think, a reflection on some improved demand for the combined entity today and I think they're doing a pretty good job.
Matthew Fassler - Goldman Sachs: Great. On automotive, kind of a quantitative question. If you could just help us understand the difference between the 4% reported total growth and the 6% comp, presumably there is -- there would ordinarily be I guess store growth. I might have gone the other way, you have ForEx. Anything else that would have driven that delta?
Paul Donahue: No, you hit on it, Matt. Just to reemphasize, the 6% same store sales number that we mentioned, that’s reflective of our U.S. company owned store base. There is a combination of factors this past quarter that impact the overall number. We had a sales return adjustment that we've contended with as well as a couple of store consolidations, and certainly as you mentioned, the FX impact as well.
Matthew Fassler - Goldman Sachs: And if we think about …sorry.
Tom Gallagher: Matt, excuse me for a minute. If you aggregate those three things that Paul just mentioned, that pretty much accounts for the delta between the 4.4% increase that we had and the 6% comp store.
Matthew Fassler - Goldman Sachs: Great. And then also on the automotive number, if your aggregate commercial business -- I believe you said it was up 6%, if I got that right -- and your same store sales number was up 6%, there were a number of initiatives -- you talked about major accounts running double digits, NAPA AutoCare ran high singles, if we solve for the residual, which I guess would be commercial outside of major accounts and NAPA AutoCare, there is some piece of it that must track below 6% for the math to work. So, can you talk about sort of is that just your undesignated commercial business or is there anything else happening in the business that might have been a bit weaker outside of those efforts?
Tom Gallagher: No. And you are right. The business set was not highlighted in Paul’s comments is running up, but it's running up low single digit, and it is the unaccounted for, it's the all other in our commercial business.
Matthew Fassler - Goldman Sachs: Fair enough. And then I promise the last. Just Carol, if you could talk about the impact of ForEx by segment, just whatever the revenue impact was for each segment? I know it was 50 bps overall, although I am not sure how that was distributed.
Tom Gallagher: Gives us a minute on that one.
Carol Yancey: Yeah, I'll get back on that. So on the automotive, I think Paul already gave you that number. And the industrial, it was a negative 1%. And then really no impact on office or electrical to speak of. And then in total it was 0.5% in total.
Operator: The next question comes from the line of Greg Melich with ISI Group.
Greg Melich - ISI Group: I wanted to first ask about in automotive, if you could just help us understand a bit what’s driving the continued double-digit type strength in major accounts. Is there business wins that you've had with new customers or the existing customers just doing more business and you’re getting more wallet share? Can you help us understand the drivers there?
Paul Donahue: It’s certainly a combination of both. Our teams are executing extremely well in the field, Mike, and you’ve got -- when you look at the major account business, and you mentioned, it’s continued growth with our existing plus some wins along the way. And when you combined them both and then you combined it with the strong execution in the field, our team continues to do a great job.
Greg Melich - ISI Group: Great. Wanted to follow up with Carol actually on the other line item, which looks like now it could be 125 million to 130 million versus the prior guide I had 115 million to 117 million. So can you just help us understand I guess incrementally what the major changes are and anything to be aware of into the fourth quarter there?
Carol Yancey: Yes. Just to be clear, so that other net line, which is including the interest and the intangible, we gave guidance of 90 million to 95 million for the full year. That’s been running at about 25 million each quarter and we’re at 74 million year-to-date. So, the things that are going in there, I mean you certainly have some increase in some of the costs that we’ve talked about for some time, so legal professional insurance, we have some of our corporate, be it shared services, it could be IT, payroll benefits, depreciation on corporate assets, it’s pretty consistent quarter-over-quarter. We also have -- there would be some things that are sort of non-recurring or we have some unusual items, like we mentioned the $4 million retirement benefits adjustment that was unfavorable. So, we didn’t change it a whole lot, but we’re looking at more of a 90 million to 95 million for the full year.
Greg Melich - ISI Group: And then two last follow-ups, one was on the cash flow guidance, which by my math appear to be about 50 million lower than last quarter, so just hoping to understand the puts and takes there. And lastly was on sort of incremental margins, because you guys ended up putting up certainly stronger growth than I had looked for at least for this quarter, but yet the margins were kind of flattish in total. So, help me if you could to understand some of the initiatives you have there to get EBIT margins expanding at the total company level.
Carol Yancey: Okay. Well I’ll take the cash flow one. So you’re right, we did probably tweak that a little bit. I would tell you we’ve had two outstanding cash flow years the last two years. We feel really good about cash from operations at around 900 million. But we didn’t have quite -- I mean we feel good about the numbers, we feel like there is improvement going ahead, but we just felt like it was time to firm that up just a bit. I would say the change was really in the working capital area, kind of a combination of AR and AP. The folks are doing a really good job in inventory. But I think I could say we felt like it was time to kind of firm that up a bit. And I think on your margin question, again I would just point to where we kind of are on a year-to-date basis. And I think where we can maintain our SG&A improvement between now and end of the year, I think you’re going to see the segment margins that we have year-to-date that would basically continue for the end of the year.
Operator: The next question comes from the line of Seth Basham with Wedbush.
Seth Basham – Wedbush Securities: My first question is on the auto group. Can you give us a sense of the cadence of comps for the U.S. company owned stores throughout the quarter?
Paul Donahue: Yes. We talked about this in the last call, Seth. And if you think back, that was in July and we mentioned that early July we saw some softer numbers coming out. That's started to strengthen in the second half of the month. And our numbers firmed up as the quarter progressed, so we’re I’d say pleased with the way the quarter came about.
Seth Basham – Wedbush Securities: And then remind us looking forward here for October, November, December, how the cadence of the comps compares for Q4?
Paul Donahue: Maybe I’m not sure -- I apologize.
Seth Basham – Wedbush Securities: Just the comparisons for the next -- for the months of Q4.
Tom Gallagher: We don’t give out monthly guidance.
Seth Basham – Wedbush Securities: I guess, Tom, another way to ask the question is, how much strong was December relative to October last year, because that’s when the cold weather started?
Tom Gallagher: Well December was, if I recall -- I don’t have it right in front of me, Seth. But if I recall, that was the strongest month of the quarter because we were getting the benefit of some of that cold weather flow through.
Paul Donahue: Yeah. And I would also just mention, Seth, last year Q4 was when we really saw our business start to come on strong. And so our total Q4 last year, we’re plus 7% same store sales.
Seth Basham – Wedbush Securities: Okay. Then secondly, maybe Carol you can give us some more color around AR. You talked about it being a focal point. Can you give us a sense of where the increases are coming from, which segments and what their natures are to bring that a little bit more under control?
Carol Yancey: Well I would tell you on the AR, it's really across all of the businesses. And I think we talked about where we had some of these larger accounts and associated with some of those larger accounts, they may have slightly different terms. So what we are able to do is get those same terms back through our vendors. But I think we also have some acquisitions that are also flowing into that and we are trying to integrate the acquisitions in. So the thing is with our accounts receivable the quality of it is outstanding. We have no concerns there. It's just making sure that we are getting all the AR in line to be slightly less than our sales increase and that’s what all of our internal teams are focused on.
Operator: The next question comes from line of Scot Ciccarelli with RBC Capital.
Scot Ciccarelli - RBC Capital Markets: Hey guys it's Scot Ciccarelli. Another auto question as well. How much of a difference did you see in geographies? You mentioned that the West was soft, but can you help us understand how soft that was? Number one. Number two. You did mention in drought conditions. Can you help us better understand I guess outside of wipers and such what else from a product standpoint really struggles under those kinds of conditions?
Tom Gallagher: Scot, I will take the first half of that. In terms of the delta, we wouldn’t want to quantify that, but we would go back to what Paul said and that is that all of the geographic areas had positive growth for us in the quarter but, some are stronger than others with the West being on the bottom end of that. And in terms of the impact of the drought. You are right about something like wiper blades, but it goes a whole lot further than that when you think that California for instance is a big agricultural state and the impact that the drought has on the crops there, that impacts not only demand from the agricultural concerns, but it impacts the truckers who hold that product, that impacts the processors who process the product. So it has a pretty long tale in terms of how it can influence demand. A lot of the workers in the ag community may not have quite as much disposable income. It can affect a retail business. So it’s a significant factor.
Scot Ciccarelli - RBC Capital Markets: And Tom, specifically who are your primary competitors when it comes to stuff like the agricultural products or is it the right way to think about it, just the long tail that you mentioned and because of that it's just a cascading effect?
Tom Gallagher: I think the right way is the long tail. When we talk about the competition, it's all of the companies that you would know. We are all located in those respective markets. Now there will be some specialists as well. But for us, for the product that we are selling, the primary competitors would be our peer group and the companies that you are well aware of.
Operator: Your question comes from the line of Mario Gabelli with Gabelli & Company
Mario Gabelli - Gabelli & Company: Yeah. I had to ask the question to you and Paul and Tom. Paul, when you sit down with Tom and he says to you his experience in Europe, what structurally does he remind you about that he had as a problem that you won't encounter in Southeast Asia, either political, rigidity of labor or just the notion of only traveling eights hours versus 24?
Tom Gallagher: You know what, Mario, I think I better let him answer the question. I'm staying clear of that one.
Paul Donahue: That one is up upward delegation right there, Mario. No, the structural -- it would be getting at it was my comment about the... 
Mario Gabelli - Gabelli & Company: Yeah. Tom, it was about 35 years ago, wasn’t?
Tom Gallagher: No. In terms of our business over there, it's performing really well. We will in fact expand it outside of those countries.
Mario Gabelli - Gabelli & Company: No. But what happened in Europe that says I don’t want to go back as a high player?
Tom Gallagher: In Europe what we saw was we had our doubts about how long it would take for the common market on the the EU to actually come into being. And number two, how successful would it be over the long-term. We didn’t have any insights beyond anybody else’s, but I think current situation might suggest that we were asking appropriate questions back then. Back then you didn’t have the common currency that you have today, but you have got different languages, you have got different rules of law, you’ve got different methods of approaching the business. And our feeling at the time was that we would continue to be successful, but it was going to be a much tougher slog than what we were accustomed to. And keep in the mind also we had just acquired S. P. Richards and Motion Industries and we had been approached someone who wanted to buy our business and we felt we could repatriate the money and invest it in S. P. Richards and in Motion and do a better job for the shareholder and I think that that has proven to be the case for the most part.
Mario Gabelli - Gabelli & Company: Well, the conclusion we agree with that's it's been a fantastic 35 years since you got out of Europe. Thank you very much.
Operator: I will now turn today's conference call back to management for closing remarks.
Carol Yancey: We want to thank everybody for their participation on the call and we thank you for your interest in and support of Genuine Parts Company. We look forward to reporting out in February on our fourth quarter earnings. Thank you.